Operator: Good afternoon. And welcome to the Enova International Third Quarter 2021 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Lindsay Savarese, Investor Relations of Enova. Please go ahead.
Lindsay Savarese: Thank you, Operator, and good afternoon, everyone. Enova released results for the third quarter of 2021 ended September 30, 2021, this afternoon after the market closed. If you did not receive a copy of our earnings press release, you may obtain it from the Investor Relations section of our website at ir.enova.com. With me on today’s call are David Fisher, Chief Executive Officer; and Steve Cunningham, Chief Financial Officer. This call is being webcast and will be archived on the Investor Relations section of our website. Before I turn the call over to David, I’d like to note that today’s discussion will contain forward-looking statements, and as such, is subject to risks and uncertainties. Actual results may differ materially as a result from various important risk factors, including those discussed in our earnings press release and in our annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. Please note that any forward-looking statements that are made on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. In addition to U.S. GAAP reporting, Enova reports certain financial measures that do not conform to Generally Accepted Accounting Principles. We believe these non-GAAP measures enhance the understanding of our performance. Reconciliations between these GAAP and non-GAAP measures are included in the tables found in today’s press release. As noted in our earnings release, we have posted supplemental financial information on the IR portion of our website. And with that, I’d like to turn the call over to David.
David Fisher: Good afternoon, everyone. Thanks for joining our call today. I’ll first provide an overview of our third quarter results and then I’ll discuss our strategy and outlook for the remainder of 2021 and into next year. After that, I’ll turn the call over to Steve Cunningham, our CFO, who will discuss our financial results and outlook in more detail. In the third quarter, we again delivered strong results as our diversified business model, world-class machine learning analytics and our terrific team were able to take advantage of the improving economic environment. Similar to Q2, we saw strong and improving demand combined with good credit quality across all of our businesses. Given these dynamics, we continue to lean in heavily with our marketing efforts. As a result, our marketing spent over the last two quarters has been well over 20% of revenue, which is meaningfully higher than in prior years. Despite this increase, we are very comfortable that this investment will generate strong returns. As we’ve discussed, we use our advanced machine learning analytics to constantly monitor expected loan level unit economics at a very detailed level. At our current customer acquisition costs, with the strong credit metrics in our portfolio, the expected unit economics and our recent advantages remain well above our targets. But as always, we will keep a close eye on these metrics as we continue to grow as we are committed to producing sustainable and profitable growth over the long-term. Third quarter originations were up 26% sequentially, building on a strong Q2 and over six times higher than the third quarter of last year, when we significantly scaled back originations during the pandemic. This is the second consecutive quarter we have produced sequential growth above 25%. In addition, originations from new customers increased to a record 43% of total origination, up from 39% in Q2 of 2021 and well above 11% in Q3 of 2020, as we believe our broad and diverse product offering combined with effective marketing across a wide range of channels is resonating very well with customers. In the third quarter, consumer products accounted for 47% of our portfolio and small business products represented 53%. Within consumer, line of credit products represented 33% of our consumer portfolio, installment products accounted for 65% and short-term loans represented just 2%. We continue to expect the mix between consumer and small business to fluctuate over time, based on both macroeconomic factors, as well as seasonality. We are pleased with the diversified nature of our portfolio and do not have specific targets for the optimal mix between consumer and small business lending. Instead, our strategy is to optimize that mix based on the economic environment at the time to maximize our unit economics and the returns we generated on our invested capital. Thanks to the skillful execution of our team during the last 18 months since the pandemic began, we believe we are continuing to take share in both the SMB and consumer markets with our diversified product offerings and consumer-friendly online only model. As economy continues its recovery, we’re seeing consumers increase their spending, which is driving demand for credit. In addition, as we’ve been predicting, small businesses have been beneficiaries of the pent-up consumer demand and the resulting increase spending. We are encouraged by these dynamics heading into the end of the year, which is typically our seasonally strongest quarter for growth and we now have considerable tailwind heading into 2022. Given that, we expect to see continued strong origination growth and elevated marketing spend for at least the fourth quarter and likely into 2022. During the quarter, we made the decision to wind down Enova decisions to allow us to strategically focus our efforts on our remaining businesses, which we believe have larger growth opportunities that are better aligned with our core competencies. Enova decisions would have required significant increase investment to scale to the next level and we believe we are better served by directing our capital resources and our people on the highest growth opportunities ahead of us. We are currently in various stages of experimentation and development, with about a half dozen new initiatives in addition to the ones we have previously discussed. While Enova decisions was growing, albeit at a slow pace, it was never a significant driver of our overall growth and did not significantly contribute to our results. Additionally, we do not expect any major costs to wind down the business. In contrast, Brazil, one of our other new initiative is having a nice resurgence in growth. As we’ve discussed in the past, new legislation in Brazil last year significantly improved our ability to electronically fund and collect from our customers. The new rules became effective March 1, and since then we’ve been testing and troubleshooting the new processes with large Brazilian banks. With most of those issues now resolved. We are focusing on quickly increasing origination volume and I’ve seen promising initial results. Before we wrap up today, I want to touch on the CID that we announced in our press release. The CFPB is investigating handful of issues several which were self reported by an Enova. We have been cooperating fully with the CFPB as we always do. This is a routine process with the CFPB, particularly in our industry. We’ve been through it with them in the past. As a result, we anticipate being able to work with the CFPB to expeditiously complete this investigation. In summary, Q3 was another great quarter and we are encouraged by the strong momentum we are seeing. The improving economy combined with our highly scalable and flexible machine learning technology provide tailwind heading into the end of 2021 and beyond. Given this encouraging backdrop, we will continue to lean in demand and help hardworking people across the nation get access to fast, trustworthy credit. Now I’d like to turn the call over to Steve Cunningham, our CFO, who will discuss our financial results and outlook in more detail, and following Steve remarks, we will be happy to answer any questions that you may have. Steve?
Steve Cunningham: Thank you, David, and good afternoon, everyone. As David mentioned in his remarks, we’re encouraged by the continued growth in origination and our ability to attract new customers as the economy and demand continue to recover. Our diversified product offerings, scalable online-only business model, machine learning powered risk management and analytic capabilities and our solid balance sheet have us well positioned to generate profitable growth as the operating environment improves. Now turning to Enova’s third quarter results, our total company and small business results when compared to the year ago quarter are heavily influenced by our acquisition of OnDeck last October. Following the strong originations growth reported during the second quarter, third quarter total company revenue rose 21% sequentially and 57% from the third quarter a year ago, to $320 million. Total company combined loan and finance receivables balances on an amortized basis were $1.7 billion at the end of the third quarter, up 17% sequentially and more than double compared to the third quarter a year ago. Total company originations were $856 million, up 26% sequentially. Originations from new customers were 43% of total origination, the highest percentage since our first year of operations. The growth in new customers was driven by an acceleration of our marketing activities. As David noted, our small business products continue their recent trend of solid sequential growth during the third quarter, as the economy recovers. Small business revenue increased 18% sequentially and was more than nine times higher than the same quarter a year ago, demonstrating how the OnDeck acquisition is created meaningful diversification in Enova’s revenue. Small business receivables on an amortized basis totaled $882 million at September 30th, a 12% sequential increase and more than 10 times higher than the end of the third quarter of 2020, our small business originations increased 15% sequentially to $462 million. Our consumer businesses saw accelerated growth during the third quarter, which is encouraging as we enter the fourth quarter, our typical seasonal high point for consumer demand. Revenue from our consumer businesses increased 23% sequentially and 12% in the third quarter of 2020. Consumer receivables on an amortized basis ended the quarter at $782 million, up 22% sequentially and 26% higher than the year ago quarter, as consumer originations increased 41% sequentially to $395 million. Subject to our typical seasonality, we expect continued growth in revenue over the coming quarters as the economic recovery continues. As expected, the net revenue margin saw some normalization this quarter as originations growth continued, especially from new customers, resulting in less seasoned loans becoming a larger proportion of the portfolio. The net revenue margin for the third quarter was 77%, down from the 98% in the second quarter, although it remains well above our expected normalized range of 50 to 60%, as credit quality, which is the most significant driver of portfolio fair value remains solid. The change in the fair value line item included two main components for the reporting period, net charge-offs and changes to the portfolio’s fair value resulting from updates to key valuation inputs, including future credit loss expectations, prepayment assumptions and the discount rate. I’ll discuss both items in more detail. First, the total company ratio of net charge-offs as a percentage of average combined loan and finance receivables for the third quarter was 4.2%, up from the second quarters historically low net charge-off ratio of 2.4% and down from 4.7% in the third quarter of 2020. The third quarter net charge-off ratio for small business receivables was 84 basis points, which is flat to the previous quarter, but well below the year ago ratio of 4.4%, as we continue to see strong credit performance across all of our small business brands. With the sequential acceleration in consumer originations over the past two quarters, especially from new customers, credit normalization in the consumer portfolio was expected from unsustainably low levels, while the consumer net charge-off ratio for the third quarter increased to 8.1% from 4.6% last quarter. It remains well within our expectations and well below pre-COVID level. Second, the fair value of the consolidated portfolio as a percentage of principal was 103% at September 30th, unchanged from the prior quarter. The fair value of the small business portfolio as a percentage of principal increase to 104% at September 30th from 100% at June 30th, as the credit outlook for the portfolio continues to improve. The fair value of the consumer portfolio as a percentage of principal declined to 103% at September 30th from highs in recent quarters. The change continues to reflect a solid credit outlook and was driven primarily by the strong recent growth in consumer originations, especially from new customers, as less season loans have become a larger proportion of the consumer portfolio. The sequential decline in delinquent receivables as a percentage of loan and finance receivable balances at the end of the quarter also reflect strong customer payment rates and the continued solid credit profile of the portfolio. The percentage of total portfolio receivables past due 30 days or more was 5.5% at September 30th, down slightly from 5.7% at the end of the second quarter and higher than the 3.7% ratio at the end of the third quarter a year ago, when originations were well below current level. The percentage of small business receivables past due 30 days or more declined during the quarter from 7.1% at June 30th to 5.1% at September 30th. The decline was driven by continued improvement in delinquency levels, and strong payment and recovery rates across all of our small business brands, as small business delinquency rates continue to trend toward more normal historical levels. The percentage of consumer receivables past due 30 days or more was 5.9% at September 30th, compared to 4.1% at June 30th and 3.5% at the end of the third quarter a year ago. With the sequential acceleration in consumer originations over the past two quarters, especially from new customers, some normalization in consumer delinquencies was expected from the unsustainably low levels recently observed. With the continued improvement in the economic environment, we again reversed a portion of the downward adjustments to the fair value calculations that were implemented early in the pandemic. As the recovery continues to gain momentum, we expect additional reversals of the downward adjustments in the coming quarters. To summarize, the change in fair value line item continues to be driven by strong growth in origination, relatively low levels of net charge-off and a stable total company fair value as credit metrics and modeling at the end of the third quarter continue to reflect a solid outlook for expected future credit performance for our rapidly growing portfolio. Looking ahead, we expect the net revenue margin for the fourth quarter of 2021 to range between 65% and 75%. As the economy recovers in demand and originations continue to rise, the net revenue margin should normalize over several quarters at around 50% to 60%, as newer and less seasoned loans become an increasingly larger proportion of the portfolio. Our fourth quarter net revenue margin expectations, and the degree and timing of future normalization in the ratio will depend upon the timing, speed and mix of originations growth. Now turning to expenses, total operating expenses for the third quarter, including marketing were $151 million or 47% of revenue, compared to $129 million or 49% of revenue last quarter and $56 million or 27% of revenue in the third quarter of 2020. Marketing expenses increased to $80 million or 25% of revenue in the third quarter from $55 million or 21% of revenue last quarter and from $5 million or 2% of revenue in the third quarter of 2020, as we captured rising customer demand to meaningfully increase originations during the third quarter, with an increasing proportion from new customers. With the strong unit economics we’re seeing from new originations and expected increases in demand through the rest of the year as the economic recovery continues, we expect marketing spend in the fourth quarter as a percentage of revenue to be similar to the third quarter. Operations and technology expenses for the third quarter total $38 million or 12% of revenue, compared to $35 million or 13% of revenue last quarter and $18 million or 9% of revenue in the third quarter of 2020. Given the significant variable component of this expense category, sequential increases in O&T costs should be expected in an environment where originations are accelerating and receivables are growing. General and administrative expenses for the third quarter totaled $34 million or 10% of revenue, compared to $39 million or 15% of revenue last quarter and $34 million or 16% of revenue in the third quarter of 2020. The sequential reduction in G&A expenses was driven primarily by continued recognition of cost synergies related to the OnDeck acquisition. We expect G&A expenses as a percentage of revenue to continue to decline over the near-term, as these expenses scale with increases in originations receivable. Adjusted EBITDA, a non-GAAP measure was $100 million in the third quarter, down 26% sequentially and 27% from the year ago quarter for the reasons I previously discussed. Our adjusted EBITDA margin for the third quarter was 31%, compared to 51%, last quarter and 67% in the third quarter of 2020. Adjusted EBITDA margin should continue to normalize in the coming quarters as a result of ongoing marketing investments and the aforementioned growth related normalization in that revenue margins and volume related expenses. As previously noted, the degree and timing of any normalization will depend upon the timing, speed and mix of originations grow and will likely occur over several quarters as originations return to historical levels. Our stock-based compensation expense was $5 million in the third quarter, which compares to $3.8 million in the third quarter of 2020. The increase is related to the OnDeck acquisition, and as I’ve described in recent quarters, the expense associated with the 2017 increase in the vesting period for restricted stock units is now fully reflected in our year-over-year comparison. Normalized stock-based compensation expense should approximate $5 million per quarter going forward. Our effective tax rate was 24% in the third quarter, which increased from 9% in the third quarter of 2020. The increase was from the one-time tax benefits that lowered the effective tax rate in the prior year quarter. We expect our normalized effective tax rate to remain in the mid-to-upper 20% range. We recognize net income from continuing operations of $52 million or $1.36 per diluted share in the third quarter, compared to $94 million or $3.09 per diluted share in the third quarter of 2020. Adjusted earnings, a non-GAAP measure decreased to $57 million or $1.50 per diluted share from $90 million or $2.97 per diluted share in the third quarter of the prior year. The trailing 12-month return on average shareholder equity using adjusted earnings was 33% during the quarter, compared to 39% a year ago. We ended the third quarter with $306 million of cash and marketable securities, including $229 million in unrestricted cash and had an additional $694 million of available capacity on $788 million in domestic committed facilities. Our debt balance at the end of the quarter includes $94 million outstanding under committed facility. Our cost of funds for the third quarter was 6.7% versus 7.8% for the second quarter of 2021 and 8.4% in the same period a year ago. The decline in our cost of funds reflects the impact of recently completed transactions that have lowered our marginal cost of funds. During the third quarter, we also acquired nearly a 0.5 million shares at a cost of approximately $15 million under our $50 million share repurchase program. Our solid balance sheet and ample liquidity have us well positioned to support originations and receivables growth as the economy recovers. We’re not providing specific revenue and earnings guidance at this time, however, as noted in my comments today, with the return of customer demand and meaningful growth in originations, we expect marketing to remain above 20% of revenue in the very near-term, before normalizing to more typical mid-teen levels in 2022. This should lead to some continued normalization in the net revenue margin, growth related variable expenses and the adjusted EBITDA margin from recent levels. The degree and timing of any normalization will depend on the timing, speed and mix of originations growth and will likely occur over several quarters as originations begin to return to or exceed pre-COVID levels. We’re encouraged by our recent results and excited by the opportunity to deliver meaningful, consistent top and bottomline growth as we leverage the benefits of the scale and efficiency of our direct online-only operating model, our broad and diversified consumer and small business product offerings, our machine learning powered credit risk management capabilities and our solid balance sheet. And with that, we’d be happy to take your question. Operator?
Operator: [Operator Instructions] Our first question comes from David Scharf with JMP Securities. Please go ahead.
David Scharf: Thank you and good afternoon. Thanks for taking my questions. So, listen, maybe first off on the demand side. I’m quite sure the answer to this question is a resounding no, just based on the strength of your originations. But I am curious, did you get any sense if the recent proliferation, just a lot of new point of sale financing products out there, subprime card products that are being launched or talked about by other lenders? Just feels like the subprime consumer, which obviously is a broad category is increasingly being targeted with more financing options. And like I say, certainly your demand in the third quarter was exceptional. But did you get any sense that some of the potential borrowers have other options or is the competitive landscape is as strong as ever in your mind?
David Fisher: Yeah. I think you said it right, David. It’s kind of a resounding no. I mean, there is a lot of noise. But I mean, there’s no large player in the subprime credit card space. There’s some small options out there, but they’re always have been and it’s mostly kind of high near prime borrowers, not deep subprime borrowers, and that, obviously, a lot of talk of buy now, pay later. But that’s almost exclusively prime and super prime. There’s really no big player that’s really done any kind of volume in the subprime or near prime space where we focus most of our efforts. And I think that’s always been one of the things that’s differentiated us instead of supporters are kind of conviction on that subprime and your prep space, where there has been less competition and continues to be less competition.
David Scharf: Got it. No. No. Understood. Just still needs to be asked every quarter.
David Fisher: Yeah. Sure.
David Scharf: And may be as a follow up, can you just remind us as, I mean, everybody’s grappling with, obviously, the cadence of credit normalization, I realize there’s no crystal ball on that. But as we think about sort of an end point of your sort of net revenue margin in a non-recessionary environment, the let -- pre-pandemic you didn’t have OnDeck, can you sort of remind us how OnDeck in that portfolio sort of changes, perhaps, the definition of a normalized net revenue margin, is it actually going to be higher than it was pre-pandemic?
David Fisher: Let me give you the high level answer and I’ll let Steve jump in with some specifics. So, first of all, we talked about normalization. Normalization becomes mostly from mix, kind of adding a bunch of new customers as demand returns, then credit actually getting bad. And I think you can see that in our results, this quarter credit is incredibly good and our belief is that in credit, credit will remain incredibly good going forward, just given the macroeconomic factors, you have rising wages, you have near full employment. It’s a great environment for people to be able to take on credit and pay it back and that’s what you saw in our numbers. We had 43% new -- 43% of our originations from new customers, by far our record since our first year in business and yet still very, very strong net revenue margin. And that’s kind of an indication that credit across the Board is very, very good. We’ve talked about normalized net revenue margins in the 50% to 60% range and subprime or SMB doesn’t change it that much. I mean, we really target our business and our products to maintain pretty consistent margins across the various products that we offer. So that’s kind of the high level. Steve, anything you want to add to that?
Steve Cunningham: No. I think you’ve covered it well, David. I would just add that, 50 to 60% is a fairly broad range. And I think, as David said, where you land in that range, the way our unit economics work, small business and consumer are in that range. And it can also vary quarter-to-quarter, depending on how fast we are growing and how many new customer or the proportion of new customers in the mix as well. So our view on that has not changed since the beginning and OnDeck hasn’t changed our view of where that normalized range should be over the long-term as we get to back to sort of capacity lending in our business.
David Scharf: Got it. Understood. Thank you very much.
David Fisher: Yeah. Thanks, David.
Operator: The next question is from John Hecht with Jefferies. Please go ahead.
John Hecht: Hey, guys. Good afternoon. Thanks.
David Fisher: Yeah.
John Hecht: Hey. I guess a little bit more on originations, I mean, it was the biggest, I think, looking at our model, the biggest quarterly increase in originations. I guess just in terms of the persistence of that is, I mean, are you getting to the point where the quarter-to-quarter jump won’t be as extreme or is it just a really good kind of marketing and customer acquisition period where that that quarter-to-quarter jump might persist and how do we think about seasonality with respect to that as we get into next year?
David Fisher: I mean, obviously, there’s only so many quarters in a row you where you can have 20% plus sequential growth before the lot of large numbers catches up with you. But Q4 is a sequentially seasonally strong quarter for us and so when you look at dollar levels of originations, we do expect very good growth in the dollar levels of originations in terms of Q4. It’s -- we’re obviously, it’s difficult to predict for only one month into it, and obviously, a lot of the seasonal growth happens in the back half of the quarter and really the back third of the quarter. So it’s difficult to predict exactly. But everything we’re seeing tells us that the demand is going to remain good. We haven’t seen any signs of it petering off, again, given the macroeconomic factors out there. We would not expect it to, so still very bullish and as we move through the fourth quarter and head into 2022.
John Hecht: And then on the, I guess, maybe discussion of marketing, like, any changes to the different channels and the different kind of efficacy of each channel and customer acquisition costs trends?
David Fisher: Nothing major, I mean, our goal with marketing really over the last five years has been to take more into our own hands and so we’ve continued to lean in heavily on direct mail, TV and digital. But still have strong volume from the lead channels and I would say, no major shifts really over the last year or two, continued optimization, of course, but no major shift.
John Hecht: All right. Thanks very much.
David Fisher: Yeah. Thanks, John.
Operator: [Operator Instructions] The next question is from John Rowan with Janney. Please go ahead.
John Rowan: Thanks. Good afternoon -- good evening, guys.
David Fisher: Hi, John.
John Rowan: Steve, I -- really just quick question. You said I believe at the beginning our marketing spend is going to be similar in the fourth quarter to the third quarter, but then the second piece of guidance, you reference a number closer to 20%. Trying to figure out if marketing spend is going to be similar to the third quarter on a dollar basis, but not a percentage basis. And if you just kind of go over the guidance that you gave for 2022 on the marketing spend reverting down to the mid-teen level. I should make sure I have it correctly?
Steve Cunningham: Yeah. Sure. So I -- what I do expect and what we expect in the fourth quarter is as a percentage of revenue marketing plus or minus will be pretty close we expect to what you saw in the third quarter. So I think at the end of my remarks I pointed to above 20%, which is what we’ve been seeing before it goes back to the mid-teen as a percent of revenue that were a bit more used to. Keep in mind, we haven’t talked about some of the impacts of fair value accounting in quite a while. But compared to pre-fair value, there’ll be a pointer to higher marketing as percent of revenue just in terms of the way the accounting works. But there also be a little bit higher revenue recognition as well. So it sort of set itself straight, but you should expect to see above 20% fourth quarter being closer to third quarter, and at some point, we expect that to level back off to our mid-teens percent of revenue, run rate that we’re used to see.
John Rowan: Okay. And then, I mean, ever since -- just kind of going back to the OnDeck acquisition, we’ve seen contraction of the overall yield of the portfolio, which you would expect given the inclusion of the lower yielding portfolio, but we -- it stopped and actually went back up this quarter. I’m assuming that’s because of the strong growth in consumer originations and is this -- where do we get a balancing act or a balancing point, if you will, so that we’re kind of running at a stable yield?
Steve Cunningham: I think we are running relatively stable. If you look at the small business products and the consumer products, is sort of an isolation, plus and minus they’ve been relatively stable. And as we’ve highlighted, I think, as you move through the year, quarter-to-quarter, particularly in a recovering economy, you’re going to see some variation in the mix. David talked about, we’re not targeting specific composition of the portfolio. We’re looking for opportunities that deliver value. So I would encourage you to -- you just look at consumer and small business separately, the yields are much more stable and the seasonality of the consumer, for example, in Q4 will probably drive a little bit faster growth in small business just typically, which will change the consolidated yield, but the portfolio yields are pretty stable from quarter-to-quarter.
John Rowan: Okay. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to David Fisher for any closing remarks.
David Fisher: Thanks, everyone, for joining and listening in our call today. We look forward to speaking with you again next quarter. Have a good evening.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.